Operator: Good morning, ladies and gentlemen, and welcome to the STEP Energy Services Q3 2024 Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, November 14, 2024. I would now like to turn the conference over to Steve Glanville, President and CEO. Please go ahead.
Steve Glanville: Thank you and good morning. Welcome to our Q3 2024 conference call. We're glad you could join us to hear about the quarter, our expectations for the future and the latest developments at STEP. First, I'd like to invite Klaas Deemter, our CFO to provide an overview of our financial results for Q3 and then I'll provide some comments on operating conditions in the quarter and what we're seeing for the remainder of 2024 and into 2025. Then we'll open it up for questions. Over to you Klaas.
Klaas Deemter: Thanks, Steve, and good morning everyone. My comments today will include forward-looking statements regarding STEP's future results and prospects. Please note that these forward-looking statements are subject to a number of known and unknown risks and uncertainties that could cause the results to differ materially from our expectations. For more information on the forward-looking statements and these risk factors, please refer to our SEDAR+ filings for this quarter as well as our 2023 AIF. Finally, please note that all numbers are in Canadian dollars unless noted otherwise and will round where possible. In Q3, STEP consolidated revenues rose to CAD256 million from the prior quarter revenue of CAD231 million and was in line with the Q3 2023 revenue of CAD255 million. Adjusted EBITDA for the quarter came in at CAD44 million or a 17% margin, compared with CAD42 million or an 18% margin in Q2 and CAD52 million or 21% margin in Q3 of the prior year. STEP had a net loss of CAD5.5 million or CAD0.08 per diluted share in Q3, compared to earnings of CAD10.5 million or CAD0.14 per diluted share in the prior quarter and CAD21 million and CAD0.28 per diluted share in Q3 last year. Listeners should note that we recognized an impairment of CAD12.7 million in our US fracturing CGU as a result of the challenging conditions in that market. The impairment was taken on legacy Tier 1 and Tier 2 diesel-powered fracturing equipment and on a property in Oklahoma that is being conditionally sold. I'll now turn to the geographical regions to provide key highlights in the quarter. In the Canadian segment, Q3 revenue rose to CAD211 million from CAD158 million in Q3 of last year and was comprised of CAD173 million in fracturing revenues and CAD38 million in coiled tubing revenues. Adjusted EBITDA for the Canadian region rose to CAD49 million from CAD37 million in Q2 and CAD41 million in Q3 of last year, marking an outstanding result for the Canadian business. Turning to the US region. Q3 revenues of CAD45 million were comprised of about CAD3 million for fracturing and CAD42 million for coiled tubing. The quarterly revenue was down from CAD70 million in Q2 and CAD98 million in Q3 of last year. The adjusted EBITDA loss of CAD1 million compares with an adjusted EBITDA of CAD9 million in Q2 and CAD15 million a year ago. The negative 3% adjusted EBITDA margin was down from a 13% margin in Q2 and 16% in Q3 of the prior year. During the quarter we had CAD38 million in funds flow from operations after deducting sustaining capital and lease payments. This resulted in a third quarter free cash flow of CAD28 million, compared to CAD37 million in Q3 of last year and CAD20 million in Q2 of this year. In the quarter we spent CAD21 million on capital expenditures. This was made up of CAD7 million of sustaining capital, CAD10 million of optimization capital and CAD4 million of right-of-use asset additions. In response to the slowing market conditions, the 2024 capital budget has been adjusted downwards to CAD91 million. Finally, STEP ended the quarter with net debt of CAD61 million, down from approximately CAD76 million in Q2. Since 2018 we paid down nearly CAD250 million of debt an accomplishment that we're extremely proud of. Debt reduction was the first phase of our shareholder return strategy with the second being a normal course issuer bid. We allocated approximately CAD8 million to the NCIB this year before pausing it when the ARC-8 private process was initiated. Despite the expected slowdown in the Q4 earnings, we will manage our cash flow to hold our year-end debt balance at these levels. I'll now turn it back to Steve for his comments on operations and outlook.
Steve Glanville: Thank you, Klaas. During the quarter, our operations demonstrated our resilience and adaptability in a challenging market. First, I'll share a few operational highlights in our Canadian geographic region. STEP's exceptional performance this quarter is once again driven by strong client alignment and our technical expertise. Our reputation for operational excellence in the Canadian market remains a key advantage. Our fracturing operations have seen increased activity levels and operating efficiencies resulting in higher operating days and proppant volumes compared to the previous year. In recent quarters, we have spoken about the incredible volumes of sand pumped in our Canadian operations. Just in Q3 alone we pumped a record 570,000 metric ton and 1.6 million tons year-to-date, a remarkable amount that represents about an 80% increase year-over-year. This achievement is due to our logistical and operational expertise, managing larger-scale programs as fracturing intensity continues to increase. In the Montney, well performance is showing a clear correlation to the amount of proppant pump. As a result, we're seeing some wells now reaching proppant intensity of over four tons per meter. Our coiled tubing operations also significantly improved with operating days increasing by 23% compared to the same period in 2023. The long-term contracts we have secured with key clients in the Montney and Duvernay are also an important part of our success. Turning now to our US business. Despite an increasingly competitive spot market our US coiled tubing business remains resilient with only a slight sequential decline in activity through year-over-year activity -- though year-over-year activity is higher. Pricing pressure continues, but alignment with major operators in each basin has been a valuable strategy. The tight market conditions resulted in us scaling back to 12 active coiled tubing units in the third quarter, but we will continue to look for opportunities to reactivate these units when market conditions support further expansion. Challenging market conditions continued to affect our US fracturing operations. We only had one crew working at the beginning of the quarter and then again at the end of the quarter resulting in significantly fewer operating days compared to the prior year. Prices have reached COVID levels or worse, but we remain disciplined in our approach of only working at rates that garner a return. We are evaluating alternatives for this service line and have had to carry additional costs to preserve value and maintain optionality. Combining technology and operational expertise continues to be a differentiator for our company. We have invested heavily in upgrading our fracturing fleets with the latest Tier 4 dual fuel engine technology which displaces up to 85% of diesel with natural gas. This investment not only helps us reduce our environmental footprint, but also aligns us with our clients' growing demand for cost-efficient and sustainable solutions. At the end of the third quarter, 75% of our Tier 2 and Tier 4 engines in the fracturing fleet have this dual fuel technology. Our real-time data acquisition called STEP-conneCT delivers valuable real-time insights into our clients' coiled tubing milling operations. We have seen an uptick in the demand and use of this technology as clients love to optimize our performance and outcome of their milling programs. Recent improvements in coiled tubing technology have enabled us to reach steps previously unattainable. In Q3, we set an industry-leading milestone in the Williston Basin completing a milling program to a record depth of 30,200 feet or 9,200 meters which is 10% deeper than our previous record. This sets a new benchmark in coiled tubing as the lateral lengths of wells extends to two or three or even four-mile laterals. Coiled tubing continues to play a critical role in the market allowing us to mill out these extended reach wells safely and efficiently. Finally, I'd like to highlight a recent accomplishment by our Canadian fracturing and logistics teams. In Q3, one of our crews set a new company record pumping over 5,400 metric tons of sand in just under 20 hours. To put this into perspective, that's about 135 truckloads moving in and out of the well site with each 40-ton trailers offloading every nine minutes. This level of coordination demonstrates our ability to efficiently handle large-scale proppant operations and really highlights our expertise in logistics and operational performance. Our clients rely on us to deliver safe efficient services, which include hydraulic fracturing pump-down services, coiled tubing and industrial services. The success we have achieved over the past year is a testament to our professionals' dedication and our ongoing commitment to improving and innovating. To all our professionals, I'm so grateful for your continued efforts in providing exceptional services to our clients. And now on to our outlook. Our fourth quarter will see a slowdown in activity for both our Canadian and US operations. This is something that we typically see as our clients wind down their capital budgets. But this year, it is made worse by weakening commodity prices. Natural gas prices have recovered slightly from the lowest seen earlier this year but the high gas storage levels in Canada and the US have discouraged producers from adding any capital to this year's drilling and completion plans. We have also seen substantial pricing pressures on spot work during the quarter. As a result of these factors, we will see a weaker Q4 than we had expected for a number of years. And we're managing this period cautiously as we expect to have high utilized -- utilization in the first quarter again next year for our coiled tubing and Canadian fracturing service lines. We'll continue to evaluate alternatives for our US fracturing service line and do not expect it to be meaningfully contributed through the next few quarters. While we are disciplined with how the year is expected to finish after a tremendous start it's worth noting that we expect our Canadian business to have its best year ever, and our US coiled tubing business will only be slightly below last year's performance, despite a sizable reduction in rig count from the start of the year to the end of September. Looking ahead, we expect high utilization in Q1 but the persistent pricing pressures experienced in the second half of 2024 will carry into the first half of 2025 in both countries. Margin pressure is expected to ease in the second half as additional LNG capacity comes online. Market indicators reflect this already with the Henry Hub forward strip ticking over $3 per BTu in July and north of $4 per BTu in 2026. We're tremendously optimistic about what LNG will do for our industry. The US Energy Information Administration forecast a doubling of North American's LNG export capacity by 2028 with Canada's capacity expected to grow from zero to 6 Bcf in that time frame. To wrap up, I'd like to touch on the announcement we shared last week. STEP has agreed to take private transaction by ARC Financial our largest shareholder after ARC Financial approached the Board with a proposal. This proposed transaction highlights ARC's strong confidence in our leadership operational strengths and strategic direction. As one of STEP's founding members and having served as COO and now President and CEO, I've had the privilege of leading this company from a startup to a major player in the energy services space. From our early days to going public and through various industry cycles, we have remained committed to our clients, communities and the incredible professionals who make STEP what it is today. We're deeply proud of the company we've built and have consistently explored avenues to maximize value for our shareholders, which has led to this proposed transaction. Management unanimously believes that this is in the best interest of STEP and our shareholders and we joined the Board in recommending that shareholders vote in support of this transaction. Further details, including how the shareholders can participate and vote at the STEP meeting on December 19 will be provided in an information circular expected to be mailed to shareholders around November 27. We anticipate the transaction will close at the end of December. On behalf of the Board and management team, I want to express our gratitude to our shareholders for your support over the past 13 years. Thank you for being an essential part of our journey. We're excited about the future and look forward to beginning this new chapter with ARC Financial. With that, I'll turn it back to the moderator for questions from our analysts. Just a reminder that, the press release contains all the details about the transaction. So I won't be able to comment beyond what is already in the release. However, we're happy to take questions on our Q3 operational performance and our outlook for Q4 and 2025.
Operator:
Steve Glanville: Yes. Thanks very much operator. Once again, I just like to thank all of our shareholders for listening in to our Q3 2024 conference call. And thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.